Operator: Welcome to the Axfood Q1 2024 Report Presentation. For the first part of the presentation, participants will be in listen-only mode. [Operator Instructions]. Now I will hand the conference over to speakers, CEO, Klas Balkow; and CFO, Anders Lexmon. Please go ahead.
Klas Balkow: [Technical Difficulty] for joining today's call. With me here today to present the interim report for the first quarter of 2024 is our CFO, as you heard, Anders Lexmon. In the Investors section of our website, you will find the presentation material for the call and the recording will also be made available after the presentation. And with that, let's get started and please turn to Page 2. Today's agenda is as follows. First, we'll have a brief market overview and then I will give you a review of our first quarter performance. After that, Anders will take you through the financials. And following Anders' part, I will talk about the progress we are making with some of our strategic initiatives and investments for the future. Then just a brief summary of the presentation before we open up for Q&A. So we are now on Page 3, but let's go straight into Page 4 and take a look at the developments during the first quarter. Market growth amounted to just over 6% during the quarter with the help from a calendar effect of roughly 2% through the leap day and the timing of Easter. However, inflation was substantially lower than before. In total, inflation amounted to slightly more than 1% in the quarter, which is done according to Statistics Sweden. Summarizing it all and taking the price and calendar effect into account, the adjusted sales growth at almost 3% was actually the highest in three years. In other words, the market is now displaying a solid recovery after the pressure on volumes in previous years. But the market is still very much characterized by price-conscious consumers, and our competitors are focusing a lot of strategic price investments, campaigns and marketing. It is still a very intense competitive environment. And this is, of course, something we follow closely. With that, please go to next page, Page 5. And if we look then at our performance, given that -- actually we are facing uniquely high comparison figures. Our beginning of the year was strong with 7% growth in retail sales. As over the two-year period, our growth amounted to 28%, almost double the rate of the market, which was 16%. The fact that we posted solid growth in the quarter in a market with low inflation was a result of significant volume growth. This confirms to us that our customers appreciate our offerings and our various concepts. With that, turn to page -- and we are then on Page 6. And if you then look on our e-commerce, our sales increased almost 9%, which again was higher than the market, and market growth continued to improve. However, growth in e-commerce still lags physical stores and is clearly muted compared to the growth rates we have seen in this channel a couple of years ago. But our share of consumer sales from e-comm was almost 6%, 1 percentage point higher than the penetration of the total market. Move on to Page 7, and looking at some of our key ratios. And consolidated net sales for Axfood grew by almost -- by just over 5% during the first quarter, driven by higher volumes from strong customer traffic. Our strong sales performance in Willys and Hemköp drove the overall market growth -- our overall growth. Dagab's sales to external customers was, however, somewhat softer, which held back the overall net sales growth. Please turn to the next page, Page 8. And in total, group operating profit amounted to SEK817 million and the operating margin was 4.0%. And last year, we had a significant cost affecting comparability relating to the transition to the new logistics structure. Although the ramp up of our Bålsta logistics center is still ongoing, related costs are no longer deemed as affecting comparability as parallel warehouse operations are being phased out gradually during this year. On an adjusted basis compared to last year, the increase in operating profit was mainly the result of strong growth and effective cost control. Higher rent levels and salaries, however, had a negative impact on our profit. The adjusted operating margin was 4.0%. Let me now go into our various segments and turn to Page 9, and we'll start with Willys. Total and like-for-like sales growth in the Willys segment approached 8% and 6%, respectively. Higher volumes was the primary contributor to the strong performance. Willys, therefore, continued to gain market share, although at somewhat slower rate than previously, which is natural given the exceptionally high comparison figures. If I compare it to same period two years ago, Willys has grown more than twice as much versus the market. And if we look at the cross-border shopping, both total and like-for-like sales increased significantly for Eurocash due to high levels of customer traffic and a positive Easter performance. Our operating profit in this segment increased to SEK484 million corresponding to an unchanged operating margin of 4.3%. The strong growth in like-for-like sales and effective cost control compensated for the cost associated with higher rent levels and salary increases. And let me just continue a little bit on the list, if you go to Page 10. Willys has a unique and competitive offering with the ambition to deliver Sweden's cheapest bag of groceries and has attracted many new customers for a long time. And regarding the number of customers that makes purchases on a regular basis, Willys saw a positive development for this key ratio with an increase of 6% year-on-year. Loyalty is, in other words, strong and we see that the customer Willys has attracted in recent years and also [indiscernible] continues to shop within the chain. In addition, the rate of increase of members in the Willys Plus loyalty program continued to be on a high level. Growth in new membership is significantly higher than in 2021, i.e., the year before inflation took off. And actually, the average amount of new members on a monthly basis in the first quarter exceeded the 2021 monthly average by more than 30%. The total number of members in our Willys Plus is now just over 3.6 million. And finally, Willys penetration is still the highest among concepts in the market and we are pleased to see that we have been able to maintain this level, a level that we expect to increase with more and more store establishments. Now turning to Page 11, and we'll look into the Hemköp segment. The first quarter saw another good performance from Hemköp. Net sales in the segment increased almost 8% and like-for-like retail sales growth was 7%. While the development for the Hemköp banner was strong, Tempo delivered a somewhat weaker performance as a result of the challenging market climate for smaller store formats. Operating profit amounted to SEK101 million and the operating margin was 5.2%. The significant increase in operating profit was primarily attributable to the strong like-for-like growth in the group-owned stores and lower costs related to campaigns. The quarter also saw improved operational efficiencies and good cost control with lower particularly electricity costs. Turning now to Page 12. And if I dig a little bit deeper into Hemköp, I want to comment that we continue to stay in Hemköp's position, particularly by focusing on price value through popular everyday products, campaigns and complication. But also, Hemköp has continued to invest in the modernization of existing stores. Over the last two years, the number of store modernizations have amounted to more than 60. This is almost a third of the total store base. And lastly, Hemköp is also enhancing its sustainability profile. For example, Hemköp is an industry leader in the sale of organic products. And during the quarter, the chain was recognized for its work with an award from Sweden's organic farmers. With that, we'll go to Page 13, and let's look into Snabbgross. In the cafes and restaurant market, the beginning of the year was weak, including a negative effect from the Easter. This was reflected in Snabbgross's performance, even though Snabbgross once again gained market shares. Sales during the quarter increased 3% in total and 1.5% on a like-for-like basis. Operating profit amounted to SEK27 million, corresponding to an operating margin of 2.3%. A weak growth in like-for-like sales could not fully offset increased costs primarily related to personnel and higher rent levels. While Snabbgross is navigating a challenging B2B market, Snabbgross Club expanded and two additional stores were converted in the quarter to the membership-based consumer concept. With that, we'll continue to next page, which will be Page 14. And I look at Dagab. Our net sales for Dagab increased 4%. Strong growth in sales for Axfood's Group-owned stores was offset by softer sales development to our external customers, including small -- formats and the service trade. And reported and adjusted operating profit amounted to SEK268 million and the operating margin both on a reported and on an adjusted basis was 1.4%. And the higher operating profit was primarily attributable to volume growth and positive currency effects. However, higher logistical costs related to the transition to the new logistics platform had a negative impact on operating profit. In addition, the accelerated climate transition to renewable fuel in transports impacted operating profit negatively. I'll talk more about both of these initiatives shortly. However, first, and turning now to Page 15, it's time for Anders to talk you through the financial development, which was strong in the quarter. So please go to next page, 16. And Anders, please go ahead.
Anders Lexmon: Thank you, Klas. And for the first quarter, the cash flow was SEK129 million, and compared with last year, SEK377 million higher, mainly due to a strong cash flow from the operating profit and positive net working capital development. We had a positive calendar effect in Q1 as well as a positive impact from a lower degree of parallel warehouse operations compared to last year and also improvements in accounts payable. The negative cash flow from investment activities of SEK353 million was significantly lower than last year. As we know, now have a lower pace in automation investments. Investments in our retail operation was also lower in Q1 compared to last year due to fewer stores, but the investments in joint group functions was in line with last year. At the end of the first quarter, we utilized approximately SEK0.8 billion of our credit facilities, approximately SEK0.7 billion less than in the first quarter last year. And then let's turn to Page 17. We have further strengthened our financial position in the first quarter compared to a year ago. The net debt has increased slightly compared to year-end due to higher utilization of the credit facilities. However, the net debt ratio remains unchanged at zero. The equity ratio has been very stable and even increased over the last couple of years. The ratio at the end of the first quarter amounted to 19.4%, 1.3% higher than the first quarter level last year. Total investments, excluding lease sold for the first quarter, amounted to SEK354 million, SEK197 million lower compared to last year. And again, we now see a lower pace in investments related to the new logistics center in Bålsta. This means that we now also see investments in relation to net sales are coming down and amounted to 1.7% in Q1. And then let's turn to Page 18. Looking at the capital efficiency, we have a positive development of net working capital in both absolute and relative terms. At the end of the quarter, the net working capital compared to sales was minus 3.4%, a decrease with 2%. We see a positive impact from more efficient warehouse operations with a lower degree of parallel warehouse operations from the transition to the new logistics center in Bålsta and also improvements in trade payables. The positive development in current liabilities contributes to a lower level of capital employed, which, in combination with an increase in profit improves the return on capital employed. So to summarize, we go into the second quarter with a strong financial position. And with that, Klas, I hand over to you again.
Klas Balkow: Thank you, Anders, and we are now on Page 19, but let us quickly turn page and go to Page 20. As you know, we have been busy in previous years with the large-scale development projects to secure our competitiveness for the future. And the new logistics platform has been the biggest one. This work is proceeding. And during the first quarter, the ramp-up of the new logistics center in Bålsta continued. Deployment of automation and transfer of inventory for dry and refrigerated goods is now complete, and the operations within the frozen assortment were also initiated recently according to plan. And e-commerce logistics will be added later in the year. We continue to expect improvements in efficiency from the second half of the year. But during the quarter, we also put automation at our new fruit and vegetable warehouse in Landskrona into operation. The scale of this automation solution is obviously smaller than in Bålsta, but nevertheless, it gives us a competitive edge and efficiencies over time. Now let's now move to Page 21. Sustainability work at Axfood is wide ranging, and we are continuously taking steps in many areas. Right now, we are, for example, expanding the assortment of sustainable and healthy products with a particular focus on hybrid products that are both meat and plant based. In addition, we are devoting a lot of efforts to increase self-generated energy from solar panels. But today, I would like to highlight our accelerated transition to renewable fuel. We communicated an increased ambition in a couple of months ago, an ambition entailing that we over a 2-year period we transition to using renewable fuel or electricity in our own and procured transports between warehouses and stores, which is 5 years ahead of plan. In the quarter, fossil-free fuel use accounted for 86% of the total in our own transports compared to 58% during the same quarter last year. This naturally led to drastically reduced climate impact of a full 29% per ton of goods transported during the period or during the quarter. We are now on Page 22. Our outlook for the year is unchanged, and it covers investments and new store establishments. Regarding new store establishments, note that we did not have any in the first quarter. However, rest assured, we have a solid agenda to expand our presence during the year with the 10 to 15 new Group-owned stores covering our different concepts. And then go to the final page, Page 23. Now let me summarize. We summarized the quarter characterized by a continued positive trend in the customer traffic, volume growth and a strengthening market position. Despite very high comparison figures, our growth was once again strong, which led to a solid earnings performance. Additional steps were also taken as part of the investments to improve our competitiveness over time. And as you may have seen, the Board of Directors has now appointed my successor, Simone Margulies, who is currently Managing Director of Hemköpskedjan, and I know she looks forward to continue to drive the agenda forward as of August 15. With a strong financial position and an ambitious agenda for the continued development, we have a good opportunity to move towards being the leader in affordable, good and sustainable food. And with that, please turn to Page 24, and I hand over to the operator to open up the line for questions. Thank you.
Operator: [Operator Instructions]. The next question comes from Daniel Schmidt from Danske Bank. Please go ahead.
Daniel Schmidt: Yes, good morning, Klas and Anders. Hope you can hear me. A couple of questions from me then. Starting off with warehouse costs, you said that you're not sort of -- you're not putting them out as one-offs, but could you say something about sort of transfer costs when it comes to Bålsta and the fact that you're running sort of double warehousing for the time being?
Klas Balkow: Good morning, Dan. Yes, I don't know if you remember, we talked about that the new plan will approximately affect around SEK 20 million for the year. And in the quarter, we have -- we are around that 20 million, but we are still not ready. But it's not only due to the time lag. It's also we have had some disturbances. It's been a special quarter with some -- it's been some snow effects, it's been some electrical thing, it's been a bit of a software change. So it's been -- so we are on that. So it will be slightly higher, but it's not only due to the time lag, it's also due to some of the other disturbances. But over time, I would say, over the full year, it will not be any material effects.
Daniel Schmidt: I hope you can hear me. There's something wrong with the operator. But it was already slightly higher than sort of the half of those 20 in Q1, and it's going to be slightly more than the 20 when we summarize the first half. Is that a good interpretation?
Klas Balkow: I think that's more or less what I said. Yes, we were already at that 20 in the first quarter.
Daniel Schmidt: Okay, sorry.
Klas Balkow: So, we will -- but again, it was not only related to the time lag. It's also some -- we had some disturbances that cost a bit, but it was more related to other things. So it will be somewhat higher. But of course, it depends on how now we're rolling it out. And now we are in the phase of rolling out the frozen goods, and that we are in line with our plans. But I just want to make sure that even if they're somewhat higher, it will not be material for the full year.
Daniel Schmidt: Okay, good. And then just moving on to Hemköp, which really sticks out, at least what I think in the quarter with a profitability level. That's on a completely new level. And sort of you have some explanations on the slide, but is this sort of what we should expect going forward? Is this -- is there any sort of one-offs in these numbers that you haven't talked about in the slides?
Klas Balkow: Well, I think it's a fair reaction in a way it's a very strong quarter. But it's also -- as you know, it's not -- if you look at the actual numbers, it could also varies by quarter to be fair to say. And as I commented out, we had somewhat lower campaign related costs in the quarter. However, with that said, when we get the strong like-for-like in our Group-owned stores and with the work that we've done now with modernization, with also driving further efficiencies in the stores, we see some of these effects. But again, it could also varies by quarter. But it's a fair comment. It's a strong quarter by Hemköp we'll select on the volume growth.
Daniel Schmidt: And also, I just want to move on to Willys on the other hand, its sales coming down across, and of course, makes sense given the comp base that you do have. But ICA [ph] really sort of taking the upper hand. It looks like in the report today with Mat.se reporting growth of 12% and from a completely different base, of course. But they're also writing that they are seeing increasing customer traffic. Are you in any sense sort of seeing the new customers that you've gained from ICA are coming back to ICA again?
Klas Balkow: No. But I would even say that this -- we had a fantastic quarter last year on Willys. But I would even say that the customer traffic and in volume growth, this is even a stronger quarter for us. So I think that the Willys performance is strong, but obviously, we don't have the same inflation numbers, but we have a very strong volume growth and a very positive influence of new customers. We continue to see that. Your comment is more related, if you look at the market growth, we had -- last quarter, we had over 20% growth. The market was 8%, 9%. It's positive now to see that the overall market is coming up again. I think that's healthy for the overall total market. But from a Willys perspective, we continue to see a strong performance, particularly with a very strong volume growth.
Daniel Schmidt: Okay. And just finally for Anders. The financial net at 93, is that a good indication for the coming quarters?
Anders Lexmon: Yes. I would say it's a fairly good assumption actually.
Daniel Schmidt: Thank you, guys.
Anders Lexmon: Thanks, Dan.
Operator: The next question comes from Fredrik Ivarsson from ABG Sundal Collier. Please go ahead.
Fredrik Ivarsson: Thank you. Good morning, gentlemen. Can I start off by following up on Daniel's question on Hemköp? You said lower campaign costs and that is despite the fact that we had Eastern in Q1 which we obviously didn't have in last year and that usually comes with more campaigning I think. So how should we think about Q2 and the rest of the year in terms of campaign costs?
Klas Balkow: But it's related to the campaigns cost is what I'm -- what I'm referring to that is a bit of marketing has included how aggressive we are in terms of number of marketing activities. So that's the comment regarding to that. Hemköp is compared to some others it's not really -- the Eastern is not really the biggest activities for Hemköp in that perspective. So it was more of a quarter-to-quarter mix in terms of marketing that could differ between the -- that could differ between the quarters. But again, what I think is the positive we need to -- that we will see in the second quarter what is related to in terms of how we are performing. It's obviously the like-for-like development in our group-owned stores. If we continue that journey, if we continue to drive the positive efficiencies that we have in our stores and get that positive healthy customer coming in, that is also reflected in our margins.
Fredrik Ivarsson: Okay. Thanks. And this is just a quick follow-up then. Was the campaign costs or marketing spend or whatever you want to call it unusually high in Q1 than more normalized in Q2 last year?
Klas Balkow: That's a fair way of looking at it a bit. It was -- but it's not completely the whole difference here. I just want to point out, but it was affecting it. We had somewhat -- but also, of course, we were unable to be more positive in our operations. And then, of course, compared to last year we had a leap day effect as well.
Fredrik Ivarsson: Yes, of course. And the next one on cash flow working capital release of around 300 million. Was this above or in line with your expectations? I guess you guided for 200 million to 300 million plus for the full year?
Anders Lexmon: Yes, it was in line. But as I mentioned, I mean, we have a quite big calendar effect due to Easter in Q1. So that is coming back to us in Q2. But the underlying improvement, I would say, it's quite fair what we have assumed and what we see actually.
Fredrik Ivarsson: Okay. So no change of guidance there?
Anders Lexmon: No.
Fredrik Ivarsson : Okay. Great. And maybe last one curious to hear about Hemköp -- or sorry, Eurocash we haven't talked about that for a while. Where is Eurocash nowadays in terms of profitability and maybe if we compare it to the 2019 level, are you higher or below that level?
Klas Balkow: I think what I would like to comment more than regarding to -- as we're not fully disclosing profitability, but I think it's positive to see now that the cross-border trade is healthy. It's coming back. We also saw a very positive Eastern performance in terms of a lot of customers coming into our stores. So, obviously, that is a positive for us and we now are getting more and more back to normal levels from a cross-border trade perspective.
Fredrik Ivarsson: Okay. Fair enough. That's all my questions.
Klas Balkow: Thanks, Fredrik.
Operator: The next question comes from Gustav Hageus from SEB. Please go ahead.
Gustav Hageus: Thanks for taking my questions. If I could follow up on Willys. You have had 6% growth in the quarter obviously helped by Easter and inflation that turned negative in the last month of the quarter. But could you please help us understand because the margin was basically flat for Willys or just a tiny bit down year-over-year. Could you help us break down to what extent Easter campaigning impacted that in a negative way and to what extent the volume leveraged impacted in a positive way and what the [indiscernible] would be between those two? That would be helpful.
Klas Balkow: Yes I understand, Gustav, but I just want to make sure it relates to the growth of Willys. Yes, you can -- I mean the total growth of the segment is almost 8%, but it's also if you look at a very low inflation number as you can calculate it's very much -- it's even as I pointed out, it's a volume growth and it's a customer growth that I would say even better than last year. So it's very positive from that. Then of course, Eastern and the Leap Day has helped which is equal to the market numbers as well. But margin-wise what is very -- Eastern is one thing, but it's not that much impacting as the volume growth is crucial for us. So that's what we are driving and making sure that if we get the volume and the sales with us that will have a bigger impact I would say even if we have some more related, of course, it's more of a -- there are some Eastern campaigns, and there's some Eastern products and so forth that is stressing a bit, but also we should get volume out of that.
Gustav Hageus: Okay.
Klas Balkow: I understand you want to have the difference between the two.
Gustav Hageus: Another way to put it would perhaps be keep in mind that Willys margins were flattish than in Q1 or slightly down. With the negative calendar and in the presumption that negative food price inflation would also be around in Q2, how do you think one should model Willys margins in Q2?
Klas Balkow: Well, as you know, I'm not guiding on that. But obviously, what Willys -- what we are doing is we are looking into our -- one of our most important key ratios is to make sure that we keep our price position in the market. So obviously, that has an impact in terms of where the market is going and then the related on the flip side of that is, of course, how many customers we are getting in and what the like-for-like will be. That is, in the end of the day concluding the operating margin.
Gustav Hageus: Okay. And nitty-gritty sort of on the operating profit on the joint group and so forth, is there anything that you think was a little bit lower than we had anticipated? Is there anything...
Klas Balkow: It was somewhat -- it's not significant as you saw, but it was somewhat lower which was more related to that we had some higher IT costs last year. So -- but there's no major changes versus -- but there was more of last year effect of somewhat higher cost.
Gustav Hageus: Okay. Thanks. Those were all my questions.
Klas Balkow: Thank you, Gustav.
Operator: The next question comes from Anna Schumacher from BNP Paribas Exane. Please go ahead.
Anna Schumacher: Hi, everyone. And thank you for taking my question. I have just one, and it's on the consumer. So the outlook appears to have improved for the consumer, at least sentiment has. Would you call out anything in particular in your data on how shopping habits are changing?
Klas Balkow: Good morning, Anna. Well, very relevant. I think, first of all, as I started to come out on the report today, I think it's positive to see that if I look at it from a total market perspective, volume growth is now back into the whole market, which, of course, is sending a signal that consumer is now shopping even more in grocery stores, which is positive. We have a significant lower inflation rate at the moment, which is also positive for the households in that perspective. I think if you look at some of the key ratios that we saw some -- you have these high inflation rates, you saw some negative effects on sustainable goods and organic products and so forth. In our numbers, at least, we started to -- it's not falling. It has started actually to grow in some areas. So that is, in a way, positive to start to see that we are getting more momentum back also in more of a broader assortment, fruit and vegetables and organic and so forth.
Anna Schumacher: Okay, that's great. Thank you.
Klas Balkow: Thank you.
Operator: The next question comes from Fredrik Ivarsson from ABG Sundal Collier. Please go ahead.
Klas Balkow: Fredrik, are you there?
Fredrik Ivarsson: Sorry, I was on mute. So just following up on the discussion we had on margin drivers overall, but I guess in Willys in particular. What we didn't touch upon was mix effects, which usually have a quite significant impact. And I assume you've had negative mix effect for quite some time given the down trading trend that we've seen among consumers. And then we also have the CPI, PPI, delta, which has been positive for quite some time. Isn't that supposed to possibly help your gross margin or product margins going forward?
Klas Balkow: Well, I think from a mix point of view, we've been pretty strong in -- obviously, in -- because the consumer is more going to Willys as the whole grocery bag is there on a very attractive level, you have seen a positive development for our private labels, which is one way where the consumer is looking for more of price-conscious products. Campaign levels, there are no major difference versus on the campaign levels versus last year in that perspective. So there is not much of change on that. What was your second question, Fredrik? I lost it.
Fredrik Ivarsson: Yes, just last point on the PPI, CPI delta, which should be supportive to margins?
Klas Balkow: But of course, we have a significant, versus a year ago, lower pressure suppliers as you also -- that's also reflected, as you see in the inflation numbers out to the market. So that is positive. Now in terms of how that will reflect as we move on, as you know, these numbers where you also see there is some time lag in that, what is obviously difficult to forecast is where it will go as we move along. We now have a currency that is a bit of going in the wrong direction again, which we are about to look into all the important period for harvest and so forth with climate change and how that will impact. So there are many areas that could impact this as we move along. But fair to say in terms of raw materials, so far we are still on a significant higher level than we were before the large inflation started.
Fredrik Ivarsson: Yes. Okay. Thanks.
Klas Balkow: Thank you.
Operator: The next question comes from Daniel Schmidt from Danske Bank. Please go ahead.
Daniel Schmidt: Just a very short follow-up. I think you mentioned, Klaus, that when it comes to membership, Willys Plus membership growth rate, it was up 30% versus the start of 2021. Just looking back at the chart that you had in connection with the CMD, does that mean that you are -- that is good, of course. But then on the other hand, does that mean that you're down 21%-25% versus what you had an intake in Q1 last year?
Klas Balkow: Well, you're right, of course, that we had an enormous peak of new customers in the beginning of that, and then we are still on a very healthy level in terms of new. But you're right, we don't have that peak any longer. But it's also fairly natural. We presented also the penetration number where we are at the highest number, I would say. And we are able to maintain that with 6 out of 10 households is shopping at Willys. At some point, with the number of stores we have, at some point, you reach a roof in that. So of course, we are on a good strong level, we maintain that, but we also to even lift it up further as we are still not present in all areas of Sweden. We still have demand for the Willys concept, which we -- when we track it, when we measure it, we see that the consumers would like to shop more at Willys versus what they can do because there is no nearby store. But versus what our store presence is in the market, I think we are at a very good level. But it's natural that we don't get that peak that we have. We're still on a very positive level.
Daniel Schmidt: And on that topic, and I think it was fairly clear already a couple of months ago that you wouldn't have any new stores in Q1, but you still reiterate the 10 to 15 for the full year, and you've said it's going to be mostly Willys and Willys Hemma. Is that going to be very much towards the end of this year? Or is it already coming now at sort of a steady stream?
Klas Balkow: I think we are pretty much out with the stores that is coming nearby. And then -- but for the full year, it's in the range. And I don't have that on top of mind. But I think it's out for the one that comes now in the near period.
Daniel Schmidt: Good. Thank you.
Klas Balkow: Thank you.
Operator: [Operator Instructions]. There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
A - Klas Balkow: Thank you. But just let me conclude and thank you for joining today's call and listening in, and I hope you all have a good day. Thanks a lot.